Operator: Good day, ladies and gentlemen, and welcome to Q4 2015 Gulf Island Fabrication Earnings Conference Call. All participants will be in a listen-only mode for the duration of the presentation. I would like to turn the call over to Ms. Cindi Cook for opening remarks and introductions. Please go ahead.
Cindi Cook: Good morning. I would like to welcome everyone to Gulf Island Fabrication’s 2015 fourth quarter teleconference. Please keep in mind that any statements made in this conference that are not statements of historical fact are considered forward-looking statements. These statements are subject to factors that could cause actual results to differ materially from the results predicted in the forward-looking statements. These factors include the timing and extent of changes in the prices of crude oil and natural gas, the timing of new projects and the company’s ability to obtain them, and other details that are described under cautionary statements concerning forward-looking information and elsewhere in the company’s 10-K filed March 6, 2015. The 10-K was included as part of the company’s 2014 Annual Report filed with the Securities and Exchange Commission earlier this year. The company assumes no obligation to update these forward-looking statements. Today, we have Mr. Kirk Meche, President and CEO; Mr. Jeffrey Favret, our Chief Financial Officer; and Mr. Todd Ladd, our Chief Operating Officer. Mr. Meche?
Kirk Meche: Thank you, Cindi, and good morning to all of our listeners. After my opening remarks, we will follow our usual format with Mr. Todd Ladd providing an update on existing projects and Mr. Jeff Favret providing the breakdown of the financials. Yesterday, we reported a net loss for the fourth quarter 2015 of $14.7 million or $1.01 diluted loss per share. Inclusive of a $7.6 million loss on contracts currently under construction as it relates to our absorbed labor costs to complete several projects which Jeff will further explain later in the call, and a $10.3 million adjustment for our large deepwater project which was completed during the fourth quarter of 2015. This adjustment was due to final remeasures for the structure and disputed change orders to the contract. We are proceeding with our legal rights under the contract, but give no assurance that these negotiations will conclude in a timely manner, nor the eventual financial outcome of these negotiations. Let me now focus on the key takeaways for the quarter. Our backlog stands at $232.4 million, with labor backlog at 1.9 million man hours to spin. Our marine group along with our offshore services group provided good revenue at respectable margins. During this quarter, we announced that we had executed on an asset purchase agreement with LEEVAC Shipyards, LLC, and its related affiliates. Under this agreement, we acquired substantially all of LEEVAC’s assets. We completed this transaction on January 4, 2016. The purchase price for the acquisition was $20 million, subject to a working capital adjustment and settlement payments from sureties on certain ongoing projects assigned to our shipyards subsidiary in the acquisition. After taking into account these adjustments, we received approximately $1.6 million in cash at closing and added approximately $112 million in contract backlog. With this, we obtained leasehold interests in a 200 acre facility in Jennings, Louisiana on the west bank of the Mermantau River, a 10 acre facility on the Calcasieu River in Lake Charles, Louisiana and a 36 acre facility in Houma, Louisiana which is currently being leased for a 12-month period. In addition to these facilities and other equipment, six dry docks were added to our existing dry dock fleet and we’re focused on strategically placing these dry docks throughout the Gulf Coast facilities to offer our customers the most convenient locations for repair and maintenance. I will now turn the call over to Mr. Ladd who will discuss our existing projects. Todd?
Todd Ladd: Thanks, Kirk. At our Texas facilities, in the fourth quarter of last year, we delivered a topsides which completed a project associated with a 1,200 foot jacket and piles delivered in the preceding quarter of 2015. Currently, we continue the fabrication of a jacket and piles bound for Trinidad which is scheduled for delivery in the third quarter of this year. Fabrication continues on work associated with tendon support buoys and suction piles, both projects being destined for the Gulf of Mexico. Recent awards for fabrication of onshore storage tank panels have commenced for delivery in the Corpus Christi area. At our Louisiana facilities, work continues on a jacket and topsides bound for an overseas location as well as construction of a 1,000 ton onshore compression module, also destined for an overseas location. We recently delivered the second of three river tow boats, where we have scheduled for delivery of the third tow boat in the third quarter of this year. Our dry dock remains active, with opportunities for work going forward. Our maintenance and repair services for offshore locations remain strong. I will now turn the call over to Jeff who will discuss the financials for the fourth quarter of 2015. Jeff?
Jeffrey Favret: Thank you, Todd, and good morning everyone. I’ll provide some thoughts on the energy sector outlook, more specifics on our financial performance for the quarter, and then I’ll turn the call back to Kirk for some final comments before opening up the call for your questions. The slowdown in our industry as a result of the oil and gas price volatility has created unprecedented uncertainty impacting overall market fundamentals within the energy sector. The current downturn is a result of a widening supply/demand imbalance, with increases in crude oil supply due to high levels of output in the Middle East and increases in natural gas production supported by the US shale boom, along with declines in demand as a result of slowing economies in China and other emerging markets. Lingering doubt as to the availability to enforce recently proposed production feelings by Russia and certain OPEC member nations, combined with conflicting data with respect to the timing of recoveries in emerging markets has further clouded estimates as to the timing of a turnaround in the oil and gas industry. As a consequence of these factors, we’re continuing to see further reductions in capital spending by our oil and gas customers relative to the already reduced spending levels in the prior year, negatively impacting our overall backlog levels. We’re responding to these challenges by reducing our own capital and discretionary spending levels, adjusting our workforce based on expected near-term work in our facilities, and taking other cost cutting measures through restructuring initiatives with respect to management and support functions throughout our fabrication facilities. We expect capital expenditures for 2016 to be at or near $4 million, or [$2 million] below our CapEx levels for 2015, and significantly below our 2014 levels. In addition, as Kirk discussed earlier, our recently acquisition of LEEVAC provides assets and operations that are complementary to our existing marine fabrication business, allowing for more diversified product offering and adds approximately $112 million in additional backlog. And lastly from a sales and marketing perspective, we’re increasing our focus on obtaining marine fabrication and vessel repair work, petrochemical plant upgrades and other projects that are less susceptible to fluctuations in oil and gas. Our Board recently approved management’s recommendation to reduce our quarterly dividend from $0.10 a share to $0.01 a share. The Board agreed with management’s assessment in light of the continuing uncertainties surrounding the severity of the sector downturn and the ultimate timing of a recovery, further steps to preserve cash where necessary in the near term. As we have highlighted in earlier communications, we are committed to maintaining a financially disciplined and conservative capital structure as we navigate through the current oil and gas downturn. Now, let me turn to our fourth quarter operating results. As Kirk discussed, our net loss for the quarter was $14.7 million or $1.01 per share on revenue of $55 million compared to a net loss of $100,000 or $0.01 per share on revenue of $124.8 million at December 31, 2014. Our fourth quarter results were impacted by a $10.3 million pre-tax reduction in contract value for a large deepwater project, due to a combination of final weight re-measurements negatively impacting the unit price contract and a further loss provision related to our inability to date to recover cost associated with disputed change orders on the project. And secondly, the recognition of an additional $7.6 million pre-tax loss provision related to expected under-absorption at one of our large fabrication facilities. The impact of these combined adjustment represented a reduction to net income of $11.7 million or $0.80 a share. Our fourth quarter results were also impacted by the overall continuing low levels of utilization at our offshore fabrication facilities as a result of the prolonged downturn in the oil and gas market, but partially offset by strong performance related to both offshore services and industrial fabrication. Revenue backlog was $232.4 million and 1.9 million hours remaining to work at December 31, 2015, compared to revenue backlog of $135.1 million with a labor backlog of 1.3 million hours remaining to work at September 30, 2015. Our backlog at December 31, 2015, as already discussed, includes approximately $112 million of vessel construction acquired in the LEEVAC acquisition on January 1, 2016. Of the backlog at year end, we expect to recognize revenue of approximately $207 million and $24.5 million during calendar years 2016 and 2017, respectively, not including change orders, scope growth, or new contracts that maybe awarded. As of the end of the quarter, we had 1,255 employees and 71 contract workers compared to 1,360 employees and 53 contract workers at September 30, 2015. And at the beginning of this quarter, we added approximately 380 employees in connection with the LEEVAC acquisition. Labor hours worked during the fourth quarter 2015 were 552,000 compared to 642,000 for the sequential quarter. Capital expenditures for the fourth quarter were $1 million primarily in connection with our dry dock extension and maintenance CapEx. I’ll now turn the call back over to Kirk for some final comments before taking your questions.
Kirk Meche: As Jeff mentioned, the market downturn as it relates to the oil and gas sector continues to be challenging. LNG and chemical plant upgrades, shallow water projects done for overseas locations and offshore wind fabrication opportunities remain for 2016, as does opportunities for our shipyard group for river tow boats, barges and cruise vessel. Our offshore and onshore cruise remains active with maintenance and upgrades to existing facilities, but pressure to reduce cost has been applied by our customers. We’re continuing with our efforts to implement cost saving measures and making necessary adjustments where practical. Our cash position remains strong with nearly $35 million cash in hand at quarter’s end, with no debt and $78 million of working capital. This strong liquidity position will provide us the ability to withstand a difficult market along, with allowing us to continue to explore opportunities that will enhance our business model. Catherine, you may now open the lines for questions from analysts.
Operator: [Operator Instructions] And we’ll go to Martin Malloy with Johnson Rice.
Martin Malloy: I just wanted to maybe talk about LEEVAC for a little bit, and could you talk about how that’s been going since you acquired it, any surprises, how you feel about the projects that they have in their yards and if you’ve got a good grasp of the cost there and what it takes to complete those projects?
Kirk Meche: To date, there’s been no surprises from what we had budgeted from a LEEVAC acquisition standpoint, including the projects that they had on the books. There were some pretty substantial change orders that were necessary to both projects that we picked up, all of that had been negotiated prior to the buying of the assets. Again, they seem to be on track so far where we’ve got through the end of January, when we did our final analysis on them. From the LEEVAC aspect, moving forward, we recognize the fact that they’ve got some strategic locations where we’re looking for specifically in Lake Charles and Jennings facilities. Again, it opens up the market a little bit in terms of Houma location for future work we needed. Again, so far, it’s been a smooth transition. Our teams have been implementing changes across both lines as a give and take situation. And so far, it’s been really good in that respect. We picked up a little bit of work since we bought them. There is one project that’s been done here in Louisiana that [indiscernible] and we’ve picked up a little bit of work in Lake Charles facility in terms of our dry docking. And so our plan going forward with all these dry docks that I mentioned in my opening remarks, we did pick up six additional dry docks to our existing fleet. We’re going to look to put that in the more strategic place going forward. We know there is a lot of activity happening in Lake Charles area, there may be some in the west part of Texas. So we’re going to look at all these locations and figure out strategically where is the best place to put this so that we offer the most competitive and the most strategic location for our customers when they have to do repairs on these vessels.
Martin Malloy: And then you mentioned a couple of areas where you’re seeing opportunities, LNG, chemicals, shallow water, oil and gas, wind, and on the marine side, I was particularly interested in [indiscernible] opportunities, could you just spend some time maybe talking a little bit more in depth about what you’re seeing in those four different areas?
Todd Ladd: On those areas, again, what we’re seeing when it comes to the wind projects that are out there, there are some of them that are up against issues around permitting and things like that going forward, but they are moving forward and some of them definitely have been coming more in the positive way. We’ve actually got a few bids in-house currently right now for projects and we’re working with some of the other customers who are putting together some of their OMEs and estimates on what they need going forward. So we’re definitely looking to see that as a positive item coming here in the future. And hoping that will – come the pass and they can get through some of their permitting issues pretty quickly. In regards to the issues with cruise ships that you mentioned, we are still working through some of that and the customer that we’re talking to, there are some items where they are also dealing with regulations and items that come in the permitting and financing and they’re working through all of their items. So that’s still a plus. And we’re very positive on how those outcomes will be. And again, just waiting to see how that’s going to happen. On the petrochemicals side, and as most people know, it’s going to be very large in regards to the quantity of work that will be done, but a lot of this is opening itself up to being a worldwide type item that fabrication will be done anywhere and everywhere they can. We’re definitely looking to take advantage of being very local to a lot of what’s going to happen here in the Gulf Coast and that puts us in a good position. Unfortunately, some of these projects, as everybody has seen, have moved further to the right, little bit further out, but again, we are trying to chase every one that we have right now and are definitely trying to see how we can make it an advantage to us and offer them a good solution as to why they need to build it locally and use our facilities.
Kirk Meche: Just to expand a little bit on what Todd was saying, when we look at the opportunities, we have in-house for bidding opportunities; our marine group has the most opportunities moving forward. I don’t know the specific number of bids we have in-house as it relates to marine, but I know we were looking at the list and it’s pretty significant. So if there are opportunities to utilize any one of our facilities performing this type of work, we’re certainly going to look at that. So we’re seeing a little bit of a pickup in some respect on the bidding activity for the marine side, and again, we’re going to look and see where that can be best placed within our organization to get the best results we can for not only our customers, but also for the employees of this company.
Operator: Our next question comes from John Deysher with Pinnacle.
John Deysher: Back to LEEVAC for a second, who is running that operation now? Is it Chris Vaccari, I guess the former CEO, still running it? Is he under an employment contract now with you guys? Who is in-charge of LEEVAC right now?
Kirk Meche: The short answer is the Gulf Island is in-charge of it. Chris does report to Todd Ladd and Chris is our Vice President in-charge of our shipyard operations. But certainly, we have our Gulf Island folks supporting him as well as one of our Vice Presidents there who is handling operations side of all of the LEEVAC entities. So, yes, Chris Vaccari is still part of our team going forward and again we’re happy to have him on board with his ability to go out to the customer base and sell and his general knowledge in the 50 years of history that LEEVAC brings with him to [indiscernible].
John Deysher: Is he under an employment contract?
Kirk Meche: He is under employment contract, yes.
John Deysher: The 36 acre Houma yard that you have, you said it was leased for 12 months, are there extender clauses in that lease, so if you want to hang on to it beyond 12 months you can do so or does it revert back to the owner at that point?
Kirk Meche: No, there is certainly no provisions in the contract for us to extend the lease beyond 12 months. We did the initial period for 12 months to correlate the delivery of some of the vessels he had in the facilities. But certainly, if work picks up in a couple of projects we have targeted come to fruition, then certainly we’re going to look at the possibility of continuing to lease that land going forward.
John Deysher: Is there any thought to in your 10-K which I guess is going to be filed fairly soon to putting a pro forma balance sheet in there reflecting the LEEVAC acquisition?
Jeffrey Favret: No, we won’t be doing that, but we will be filing shortly thereafter as required by the SEC an amended 8-K that will have pro forma information in there as well as financial statements for three years back for the LEEVAC entities.
John Deysher: But in that 8-K, will there be a pro forma combined balance sheet as of the end of December?
Jeffrey Favret: Yes, there is a pro forma included in there.
John Deysher: Then a couple of quick questions. The headcount, again, I missed the detail in terms of contracted employees versus your employees at the end of the year?
Jeffrey Favret: We’re picking up 380 employees for LEEVAC. Were you asking about that or were you asking about overall...
John Deysher: I think one number was, 1,250 was that your employees?
Jeffrey Favret: So as of the end of the quarter, we had 1,255 employees and 71 contract workers. And then shortly thereafter, we picked up 380 employees from the LEEVAC acquisition.
John Deysher: And then finally, the $10.3 million charge in the fourth quarter, was that related to the same contract that triggered a $14.3 million charge in Q3, is it the same project?
Jeffrey Favret: Yes.
John Deysher: Is that all behind you now, because at the end of the third quarter, you thought that the $14.3 million was going to be the end of it? Now, we’ve got another $10.3 million. Is this the end of it at this point or what’s your best guess in terms of this particular project?
Jeffrey Favret: This would represent the end of any losses that we’d be taking on that particular project. As Kirk mentioned, we are aggressively pursuing collection on some undisputed change orders. We clearly give no assurance as to the outcome of that, but we believe that we have captured all the losses associated with this project.
Kirk Meche: We will pursue all our legal rights under the contract to continue to fight for some of these unapproved change orders.
John Deysher: Absolutely, it’s a huge number. It’s almost $25 million.
Kirk Meche: Yes, that’s correct.
John Deysher: Are there any other things like this at this point? Disputes or anything like that or we will see that in the 10-K under...
Kirk Meche: Other uncertainties.
Operator: We’ll hear now from Jeff Geygan with Global Value Investment Corp.
Jeff Geygan: Just a couple of questions, I got on a little bit late. So if you’ve already addressed these, forgive me. What motivated LEEVAC to sell?
Kirk Meche: I guess what motivated LEEVAC to sell was he was in a very tight position in terms of contract losses on some existing contracts he had, which certainly was the driving factor on this. But we had been on discussions with him for numerous years now for the positive aspect of joining the companies and what we could bring to each other in terms of [indiscernible] our presence in the marine industry. So there was a couple of factors in there. And I’d tell you the first one was, again, we’ve been in discussion with those guys for a number of years now. And certainly, when he was getting to an awkward position with his company, then the negotiations were a little bit easier from a Gulf Island standpoint moving it forward. And so they decided to join with us and that’s how we acquired the LEEVAC.
Jeff Geygan: It seems opportunistic, so congratulations to you and I’m glad that Chris is on board that actually bodes well. But I’m a little unclear, you didn’t spend cash, you got a net $1.6 million, clearly there were some liabilities, can you give us any color on the impact on your balance sheet as a result of the $20 million? I’m just curious where that is?
Jeffrey Favret: So the transaction was a $20 million purchase price. They were significantly prepaid on four large contracts that we acquired. And so through negotiation with several parties, we collected upfront the prepaid amount. We will effectively spend the purchase price, if you will, over the course of the remaining life of these four projects.
Jeff Geygan: Which is about 18 months?
Jeffrey Favret: Approximately 18 months, that’s right.
Jeff Geygan: Was there other considerations?
Jeffrey Favret: That was the consideration, the $20 million that we will spend over the course of the next 18 months.
Jeff Geygan: Can you qualify the backlog, and I’m somewhat new to your company, you had $135 million going in, you have this $112 million. How do those backlogs compare to one another in terms of margin or timing or customers, et cetera?
Kirk Meche: When you look at the traditional backlog, excluding LEEVAC backlog, you’ll see that it wasn’t much burn off in our backlog as we reported in the third quarter. And that’s pretty traditional for Gulf Island. With our services group, not only services group, the marine group, there is tremendous amount of work that we do on a T&M type basis, time and material. And with that, we don’t report that as backlog. So that work happens during the course of the quarter. So as we burn our backlog, we actually are replacing backlog with this type of work going forward. So from our standpoint, that’s why you won’t see a much of a burn off of backlog as long as we continue to do the T&M type work with the services group and marine group. You may see a trickled backlog being burned off, especially now as we’re getting to the LEEVAC backlog itself. But again, from quarter to quarter, the traditional backlog – I think we’ve said that several quarters back that you’re not going to see a huge burn off on the backlog as long as the services group and marine group continues to work on a T&M type basis going forward.
Jeff Geygan: You indicated the most forward opportunity was in the marine, can you quantify what type of dollars that might imply?
Jeffrey Favret: We generally don’t give forward-looking information about or guidance on prospective wins and losses. In this industry, it’s very difficult to determine whether or not we’ll secure a particular bid or not. You generally either hit a homerun on certain bids, or you strike that on those bids. And so for that reason, we’d rather not provide guidance on our probability of wins.
Jeff Geygan: With respect to your petrochemical, I think I’m reading some of your historic data, you indicated that you might have an interest in operations in Mexico. Is that still a possibility for you?
Kirk Meche: I think at this point time anything is a possibility. We are continuing to search all the markets, all the locations, strategic to what makes sense going forward, what doesn’t. Our first preference would certainly not be to go and establish a location in Mexico. But we certainly have had some discussions with operators from that sector, but nothing that is material at this point in time.
Jeff Geygan: Last question and I’ll jump out, with regard to the wind business, how does that business compare to your other businesses, your more traditional, in terms of margin profile?
Kirk Meche: When you look at that segment of the business, what we’re actually fabricating for the wind industry is very similar to what we do for our shallow water projects in the Gulf of Mexico. And that’s why it was such a natural fit for us with that industry and going forward. So the margins on those things would be very traditional with what you see on shallow water platforms in the Gulf of Mexico, which traditionally have been higher profit margins on the projects that we have booked in the past.
Operator: And we will now go to Walter Winnitzki with Buckley Capital.
Walter Winnitzki: I wanted to focus also on the marine side of the business and I have three questions, I guess. First, relative to LEEVAC, in addition to the additional capacity with the six dry docks, do they bring to you guys any particular expertise in any area of vessel construction and what exposure would they have to oil and gas? So that’s the first question. Second is, you had mentioned in some of your remarks that relative to current business conditions that you’re seeing a pickup in bidding opportunities and maybe you can provide a little more color on what areas those are, what’s the pricing environment like? And then finally, from a longer-term perspective, what’s really the key drivers over the next couple of years in the marine business? There had been a big buildup on the barge side over the last couple of years, but that seems to be drawing down a little bit. So maybe you can talk about over the next two or three years where the real opportunities in growth is going to come on the marine side of the business?
Kirk Meche: I’ll try and address the three comments, if I miss something, please let me know. Your first question dealt with the expertise in terms of the shipyard and how it relate to oil and gas. Certainly bringing LEEVAC folks on, they bring on – we also acquired the intellectual properties from LEEVAC. So LEEVAC has a design team on staff where they’re producing their own designs to meet the marketplace. Gulf Island did not have that. We had to go to third party in order to get our designs done. And certainly as I mentioned earlier, with 50-year history behind Chris Vaccari and his group, they are bringing in the expertise in terms of knowledge within the marketplace, contacts, marketing ability and then certainly expanded capabilities, especially in Lake Charles facility which we think is going to be something that we’re going to look at every heavily in not too distant future in terms of vessel repair and whatnot. I think your second question had to deal with the bidding opportunities that were out there. Todd had made a couple of comments about the opportunities we have in the bidding side of our business. Again, there is different segments that we look at. Certainly the shipyard or the marine environment is certainly something at this point in time, as we said, there is tremendous amount of opportunities out there right now in terms of bidding. And look, those bids can range anything from [wider ring vessels] to integrated tug vessels to marine, river cruise vessels, it’s not traditional or vis-à-vis vessels that we’re looking at. This is really outside. There is still lot of interest in river tow boats that we’re looking at and we may at some point in time also look at the opportunities that exist from the governmental side of the business as well, something that we have not touched upon too much in the past. We have delivered two vessels to the government, but Chris had a little bit more experience dealing with that. And there is ferries for New York and whatnot. So the opportunities for the marine side of it is out there. You asked about maybe some key drivers in the marine side of the business, you’re right. There was a heavy push for OSVs and heavy push for barges in the marketplace. Over the next couple of years, our focus is going to be primarily when you look at the repair side of the business, we know that these vessels eventually have to go back in service. Traditionally when that happens, they have to get Coast Guard and ABS inspection on them, especially on the vessels that’s been laid up for a period of time. So we want to be there for these guys in order to have the availability in our dry docks. And look, the marketplace, it changes so quickly that it’s difficult at times to say what’s going to happen in the next two or three years. But we can assure our shareholders that we’re going after whatever the market is going to yield, we’re going after that. And again, with the three facilities, we think that we’ve got the capacity to handle the customer needs and the ability to build different type of units. Again, so if they get back to more of a river type tugs or they get more to offshore supply vessels, whatever form that may look like, or maybe floating hotels or some sort like that, we think we’re strategically placed to handle that type of work going forward. And I hope I answered the three questions, Walter?
Walter Winnitzki: Yes, I think you did a great job actually. Just a quick follow up, and that is pickup that you’re seeing in business, is this relative to people – some of the dollars maybe freeing up that have been sitting there as people were scratching their heads as to what’s happening, particularly in the economy in that area over the last 12 months or so and people saying it’s, I guess, we have to move forward on these things, or is there another driver of that?
Kirk Meche: I think they’re still scratching their heads to be perfectly honest with you. There are some opportunities and I think they are beginning to realize that there are some relatively cheap prices that can be had through the marketplace and whether that’s through materials or labor or availability of yards in this sector. Again, right now, I think it’s more of a top and let’s wait and see type approach. I don’t think we’ve gotten to the point yet where we can really say, yes, we see some very forward-moving projects especially in the oil and gas segment. Again, the marine side of the business is really not so much geared towards oil and gas. But there is a couple of our customers who are just dabbling in the water in some respect just to see what’s out there and pricing structure remains, to see if it can fit in their models. And if it does, at what price per barrel would these models yield. So again, there are some talks that are being done, but certainly nothing as definitive at this point in time.
Operator: [Operator Instructions] And we’ll take a follow-up from John Deysher.
John Deysher: Just a quick follow-up on the four OSVs that are in the LEEVAC yards, are they all going to be delivered in 2016 or what’s the profile for delivery of those vessels?
Kirk Meche: No, actually, Todd? Of those vessels, we actually have two of them that’s going to be delivered towards the end of 2016, early 2017. And then the other two are actually into mid to late 2017.
John Deysher: So potentially only one might be delivered in 2016?
Kirk Meche: That’s correct.
John Deysher: So in terms of the backlog that you expect to realize this year, I think it was $208 million or so, how do you see that unfolding over the four quarters? Is it more skewed towards any particular quarter than the rest, or how does that unfold?
Kirk Meche: No, it’s actually pretty consistent. Again, having gone through our histograms and monitoring where we are, it’s a pretty consistent burn off throughout the year.
John Deysher: So equally across all four quarters, roughly?
Kirk Meche: Yes, that’s correct.
John Deysher: And the disputes related to those four OSVs, that’s all been resolved as part of the transaction, correct?
Kirk Meche: That’s correct. I think you’re talking about from a LEEVAC standpoint?
John Deysher: Exactly, because that’s...
Kirk Meche: That’s correct. We’re currently under a new contract with the two owners and we’re actually performing additional work above and beyond the contract. So yes, all that’s behind time, LEEVAC, I guess.
Operator: With no additional questions in the queue, I’d like to turn the conference back over to Kirk Meche for any additional or closing remarks.
Kirk Meche: Okay. Again, we’d like to thank everyone for your interest in Gulf Island. And we hope that you have a good day. Thank you very much for joining us today.
Operator: Thank you. Again, ladies and gentlemen, that does conclude today’s conference. Thank you all again for your participation.